Operator: Good day, ladies and gentlemen, and welcome to the Fastenal Co. 2010 Annual and Fourth Quarter Earnings Conference Call. I'd now like to turn the conference over to your host, Ellen Trester.
Ellen Trester: Welcome to the Fastenal Co. 2010 Annual and Fourth Quarter Earnings Conference Call. This call will be hosted by Will Oberton, our Chief Executive Officer; and Dan Florness, our Chief Financial Officer. The call will last for up to 45 minutes. The call will start with a general overview of our quarterly results and operations by Will and Dan, with the remainder of the time being open for questions and answers. Today's conference call is a proprietary Fastenal presentation and is being recorded by Fastenal. No recording, reproduction, transmission or distribution of today's call is permitted without Fastenal's consent. This call is being audio simulcast on the Internet via the Fastenal Investor Relations home page, investor.fastenal.com. A replay of the webcast will be available on the website until March 8, 2011 at midnight, Central Time. As a reminder, today's conference call includes statements regarding the company's anticipated financial and operating results as well as other forward-looking statements based on current expectations as defined by the Private Securities Litigation Reform Act of 1995. Forward-looking statements may often be identified with words such as we expect, we anticipate, upcoming or similar indications of future expectations. It is important to note that the company's actual results may differ materially from those anticipated. Information on factors that would cause actual results to differ materially from these forward-looking statements are contained in the company's periodic filings with the Securities and Exchange Commission, and we encourage you to review those carefully. Investors are cautioned not to place undue reliance on such forward-looking statements, as there is no assurance that the matter contained in such statements will occur. Forward-looking statements are made as of today's date only, and we undertake no duty to update the information provided on this call. Today, GlobeNewswire is experiencing technical difficulties posting our press release this morning. The 8-K filing on EDGAR has posted and is available on our website. We are working with GlobeNewswire to resolve this issue as quickly as possible. I would now like to turn the call over to Will Oberton. Go ahead Mr. Oberton.
Daniel Florness: Thank you, Ellen, and thank you, everyone for joining us this morning. Prog report, the numbers for the fourth quarter and for 2010. Starting out with sales growth, we grew our business by 17.6% for the entire year. For the quarter, we grew at 20.3%. We didn't see a little bit of softness in November, but it bounced back nicely in December and actually had a strong month from start to finish. The positive things about our sales growth is that the growth is widespread. We're seeing good growth in almost all regions of the country, geographic areas. Our international business is doing very well. The business grew over 30% for the year, and we have a lot of good things going on in the international side. So we're very excited about that and about the good domestic growth. As the company reported 44.8% pretax growth for 2010 and for the fourth quarter, we hit right at 50%, I'm very proud of those numbers. We've worked very hard at that. On the net earnings side, it was a little lower because our tax rate was slightly higher for the year. We had 43.9% earnings growth for the year and 46.3% for the quarter, both solid numbers. A lot of the earnings growth was driven because of the nice job we did on expense control. Our SG&A for the year overall expenses for the year were up 8.5%. For the quarter, it went a little higher at 15.1%. Dan is going to touch a little bit on that as we go into the call. Some of the expense areas that I was really excited about. Our non-payroll expense for the year was actually flat to down slightly. It was basically flat for the year. Really good job by the team working on everything we could do and working hard to control that. With the payroll expense, we were only up 8.5% but that was driven by commissions and bonuses rebounding from our 2009 expenses. Other areas in the expense category that I think we did a very nice job on. The first would be distribution. Distribution expense is the closest expense we have related to the physical movement of product. You move more product, you move more weight, you spend more money. It's pretty straightforward. But our group worked really hard at implementing some new software, some new ideas, some better ways of doing business and it grew our business by 17%, and grew their expenses by less than 4% in the warehouse side of our business. And I was really proud of those numbers, so I looked at them at the end of the year and proud of the team that did that. On the transportation side, it's also a very physical part of our business, moving weight because as I've said many times, the product we sell is pretty inexpensive by the pound. We sell processed steel. Our transportation group did a nice job in rising in an environment where they feel prices were rising and actually turned the profit for the company after you considered putting all the credits we received from suppliers for holding product fee, the charges we charge the customers for delivering product, it netted out and in our expenses it netted out that we actually had a profit for the year. And I think, in the whole three of the last three quarters, we turned a profit in freight. So I know they're job well done by the people in the transportation department. As far as hiring, we did hire about 700 sales people throughout the year, people within our stores. Going forward, we will continue to add people into our store and sales operations. And right now, what we're planning for is to ads people in the stores at about 60% to 70% the rate of our sales growth. So if you look at the fourth quarter, it's easy to do the math. We'll probably add 13% to 14% additional store people if we continue to grow at about the rate we're growing today. If we were to accelerate out of that, we would increase. And if we were to slow down, we would bring that back trying to manage our expense. On the support personnel side, which makes up approximately 30% of our labor force today, we will add some people in 2011. We've been tight for the last few years. Our plan there is to add support personnel at half or less the rate of sales. So again, looking at where we are with the month-to-month releases, it's pretty easy to figure out what our plan is. Our store openings, we had a strong finish in the store openings that was really designed in the beginning of the year, trying to understand how the year was going to play out. The year played out well, so we increased our openings in the second half. Going forward, our plan for 2011 is to open between 149 and 200 stores, which is a 6% to 8% range. We may round that up to 150 to 200, it sounds better, Dan. So we're optimistic and we're going to open stores. We believe it's one of the cores to our growth strategy. Switching to 'pathway to profit'. 'Pathway to profit' for those of who you that aren't familiar is our strategic growth plan that we laid out in 2007. And what I'd like to say is we're back on course for the 'pathway to profit'. With the profit improvements that we've identified through this slowdown over the last two years, found new ways of doing business, ways of saving money. We now believe that we're going to achieve the 23% pretax number with a lower average store size. If you recall, when we first laid this out, we had said we needed to achieve an average store size of 125,000 per store per month. Looking at our current release we just put out today, if you look at that data, it shows that we really need to be at about $100,000 to $110,000 per month looking at those numbers to achieve a 23% pretax rate, and we're comfortable that these numbers are sustainable going forward. If nothing else, we might be able to improve them slightly. Based on that, we should be able to achieve the $100,000 to $110,000 average store size in 2013, bringing the 'pathway to profit' timeline back a couple of years from what we have stated six to nine months ago. And so we are very excited about that. One of the great benefits of 'pathway to profit' is the return on the business that we get -- the return on invested capital assets equity. However, you look at it when the pretax moves up, the return gets moved up like it has a lever on it because there's a great advantage there. So before I close and hand it over to Dan, I just want to let you know that as an organization, we're starting out the year with a very high level of optimism and focus. And we're just really excited about going into the new year. With that, I'm going to turn it over to Dan. And then when he's done, we'll answer some questions.
Daniel Florness: Thanks, Will, and good morning, everybody. And again, thank you for joining us on our call this morning. I’m just going to highlight a few points in the press release just for the convenience of the reader out there. First off, on is to reiterate about Will's points. If you look at Page 1, one item I'd just like to highlight is as Will mentioned, the leverage slipped a little bit in our trend, but December snapped back nicely. And I'm pleased to say, when I look at our various groups of stores and I look at our two-plus group, the fact that we were at 16.8% growth in that group in the final month of the year. It's a nice way to end the year and launch into the new year. So I'm pleased with the recovery in December and nice sales number for the entire quarter. When I look into the document a little bit and I get into Pages 2 and 3, and we start looking at some of the sequential patterns that I started talking about a year ago on this call, and in a little more detail to try to explain or for us to try to understand what was really happening as we went through the downturn and then the recovering of the model to our business. As you saw back in February, there was a little weather weakness, but other than that month, we are at or above trend in every month as we progressed on our January, October pattern and prepare ourselves for 2011. And continuing on to Page 4, that chart that lays out the patterns in our Manufacturing and Non-Res Construction business. Manufacturing, as we have talked about in 2009 had bottomed out earlier in the year and was performing quite well towards the tail end of '09 and then to 2010. If I look at the trend pattern at the bottom of Page 4, I'd see that the Non-Res Construction and I look at it in comparison to pre-slowdown. So I look at it in October 2008 timeframe. We've been slowly inching back as we go through the year back to that benchmark pattern from 2008. And I feel again, I believe that positions us well going into the new year. One other item I'd touch on is when I look at 2010 and in 2009, we had pulled back quite aggressively in our headcounts to manage through the downturn, and we saw some weakening in our active account growth as a result. When I look at Q4 2010, it's our strongest quarter for the year in active account growth. And again, I believed all those things lined up to bode well as we begin the new year. Page 5, as Will mentioned on the 'pathway to profit', that table we have, 'pathway to profit' starts on Page 5. The table we have on Page 7, really touches on what Will was pointing out is that when we started the 'pathway to profit', our target $125,000 a month in average sales for our store group we felt would yield a 23% operating margin, pretax margin for the company. With the improvements we've made on the operating expense side and this despite a weakening in our gross margin as we went through 2009 and saw some recovery in 2010. Despite that, we were able to improve the relative profitability of the various groups such that we look at it now and say $100,000 to $110,000 is a reasonable range where we can hope to achieve the 23% operating margin. And what that does is it shortens up the amount of time that possible event pushed back by the recession. One other item I'd point out is for the benefit of the reader is on Page 6. We changed the display of how we show that table, and we now have broken out what we not only store personnel but non-store selling personnel. Because I think it's an important item to note the selling energy and the investments we're making into the selling energy both in 2010. And as we progress through and report our 2011 numbers, it just brings added clarity to where we're adding resources. If I look at the support area and I ignore the distribution and manufacturing, I look at true administrative support, you would see that like we talked about back in 2007, as we slowed down the store openings and focus our energy on growing the stores, growing the headcount per store, growing the business per store, the amount of overhead, true overhead we have as an organization, really holds pretty constant because the individual business units are levering up. And you see that in our administrative personnel in that timeframe, which is essentially flat over the last three years. Finally, operating and administrative expenses. As Will mentioned, we feel we've managed that well as we went through 2010. In the release on Page 9, we mentioned some of the changes in the cost components. One item that I'd point out, I think it's useful for the reader to understand is that when we look at -- we've always indicated and you can read it in our proxy, you can read it in a lot of our filings, we are a very entrepreneurial organization. We reward for growth. There's two sides to that coin in 2009, we saw it and a lot of it. Everybody within Fastenal had a tremendous belt-tightening, personally, as they went through 2009 as the incentive compensation dried up. In 2010 that expanded quite nicely. And if you look at our increase in payroll cost for 2010 and you quantify the pieces, about 75% of the increase in payroll costs in 2010 is solely related to incentive comp, commissions paid to personnel at our store, incentive bonuses paid to our district leadership, regional leadership, support infrastructure, distribution personnel, administrative personnel, et cetera, all of those combined bonuses and then the final one on 401K match, all those pieces, the expansion of that resulted in 75% of our expense growth in payroll. The other 25% was related to the actual adding of people and working more hours throughout the year as our business grew. One other item I feel compelled to mention. Just for clarity to our operating expenses as well. Last week, we put out a press release indicating we had settled a dispute that we had with the Department of Justice, which is related to our GSA hardware contract. And in our release last week, we indicated that we settled for $6.25 million. $3.5 million of that settlement is recorded in our fourth quarter numbers. Approximately $2 million was recorded in our third quarter numbers, and I think that sort of points out number one, for the analyst community to understand the numbers, and for our shareholders in general. If I looked at that and say that it wasn't there, the $3.5 million wouldn't a 100% disappear, but between 80% and 85% of it would. And the balance that wouldn't disappear would be the additional dollars that would've been paid out in incentive compensation. And so that was felt by everybody within the organization in the fourth quarter. One other item that I would mention and again, I feel compelled only from the standpoint of for those of you that have owned our stock over the years, I'm happy I have the opportunity to directly meet with Bob Kerlin in the past, Will Oberton in the present. One thing you know about Fastenal is in our course of business, operating in a very ethical and forthright manner, and we're proud of that. And two items cited by the DOJ in their press release last week we take exception to. We believe over the course of the contract that we acted in good faith and we priced our product accordingly in terms of the contract. The second item they cite was that we know and we sold import product. That statement actually is true. In the contract, that was admissible because it was a walk-in contract, the hardware contract, where a customer would come in and buy product. And it was broken out in the contract but the buyer was responsible for determining country of origin. We did sell that product when the customer came in. We reported that in our reporting to the government, and we think that was appropriate in context to the contract. But we agreed to disagree, we settled it and now we move forward. And I'm glad it's behind us, so we can move forward in 2011. The final item I'll touch on is on Page 11 and that relates to cash flow. Sorry, there isn't a call where I don't at least touch on cash flow sometime during the context of the conversation. Again, I'll frame it back when we started 'pathway to profit' back in 2007. In that meeting that we had with our shareholders, we talked about the 'pathway to profit' what we're hoping to accomplish from standpoint of profitability. We also touched on what we hope to accomplish from the standpoint of cash flow. In that discussion, we've said generally speaking, our target was to have operating cash flow as a percentage of earnings at around at least 85%. In 2010, we came in at 90.6%. We also talked about that spending somewhere in the 25% of earnings in the form of capital expenditures. So if you take the 85% back off the 25%, our goal would be to have approaching a 60% of our earnings available in free cash flow to use for other purposes that might be returning to our shareholders that might be other investing opportunities that come along. In 2010, we spent about 26% of our earnings in net cap of CapEx, leaving 64.5% of our earnings available as free cash flow. We paid out 68.9% of our earnings so we depleted our cash flow, but it has lived through the year. But a very, very strong cash flow and I believe, again, that’s up well as we enter into 2011. With that, I will now turn it over for questions.
Operator: [Operator Instructions] Our first question comes from Ryan Merkel with William Blair.
Ryan Merkel - William Blair & Company L.L.C.: My first question has to do with your sales outlook. Will, at one point you had thought that 15% to 20% top line growth was achievable in 2011. And I'm wondering if you still believe that's a reasonable target and what some of the puts and takes are in your mind?
Willard Oberton: I think it's a reasonable target. Some of the puts and takes would be if you look at the historical patterns, we normally touch start our January at or above where our October daily average was, which puts us in the 20% range in January. If you start out there, even if it slowed down a little bit, you should be able to hit the 15% to 20% for the year. Right now, we do not predict that it will be slowing down. So we're pretty confident in the 15% to 20% sales range at this point.
Ryan Merkel - William Blair & Company L.L.C.: Then my second question is on gross margins. I noticed that fastener sales were about 48% of sales in the quarter. But you were still able to achieve nice gross margins. So what drove the mix change and then do you think you can continue to hold gross margins near that 52% range?
Willard Oberton: Well, the mix change as we've gone through the year, we've had some variations of our large account business from our OEM business being very strong, which actually pulled it up a little bit, in the middle part of the year. We have a broad base of business. The construction improving as we went through the year, a lot of non-Ffstener products including those sales as well that pull that mix down a little bit. I think what really drives our ability to manage as we go through that mix is the job our procurement group has done over time of building a nice offering of products. If you look through our catalog, great selection of products, great job of sourcing. And we've done a nice job adding exclusive brands. And it still as a percentage of our sales is relative -- if you ignore the fastener piece, it's still relatively small, but it's been building every year. And I think that puts us in position to maintain and improve that 52% as we move into the new year.
Ryan Merkel - William Blair & Company L.L.C.: I'd like you to explore the decision to expand the universe of sales people that you measure. So I'm wondering what prompted this decision and then how is it different than what you had been doing?
Willard Oberton: What prompted us that we continued to put more sales specialists outside of the store, trying to drive additional products, things, products or markets. In 2010, our biggest initiatives were adding government sales reps, manufacturing sales reps and sales reps selling our vending systems. But none of those showed up in our sales investments and they're purely a sales investment. And even over and above those, the cost of keeping those people on the road. And so we really want to give the clearest picture we can of what we're doing. And the reason we chose is to put a lot of investment into those areas is that it's the greatest way to lever our sales. Going into 2010, we weren't sure what the economy was going to bring us and the business was going to do. So we really looked hard, and we said, we think we can get a better boost in our business by putting sales specialists above the store umbrella and driving business to the store than the entry level sales people doing it one small account at a time. They're both important. But if you only have so many people to add, we felt this was our best investment. And so we wanted to state that and the way you look at our sales investments in our releases.
Operator: Our next question comes from David Manthey with Robert Baird.
David Manthey - Robert W. Baird & Co. Incorporated: A few questions on inflation. Could you talk about, if you had inflation realized in the fourth quarter, your expectations for 2011? And then specifically, I think there's price increases coming in the channel for fasteners. But could you talk about not only fasteners, but non-fasteners, we're hearing pressure across other categories as well.
Willard Oberton: Could I answer your first question? We didn't have a lot of inflation in the fourth quarter. There were small price increases coming through from the middle of the year. But for the most part, they were smaller categories, and we are putting up the arm and holding them back kind of doing the Heissman on the price increases coming. But with oil prices going up, the plastic products and other products go up. So right now, we are seeing more price increases coming through. We're mitigating them as well as we can. And going into the year, the cost will go up some. With the inventory cycle, it's going to take -- that will be coming through more by the end of the first quarter going into the summer months on the non-fastener products. We’ll start trying to push price increases sooner than that but it always takes time. On the fastener products, the steel has been, it's kind of been a roller coaster lately. The U.S. steel is way up. Asian steel has not risen as much. But our purchasing manager just got back from a week in Asia and everyone is selling and prices are going to be going up. One of the things that's really thrown it off now is the flooding in Australia because the coking compound that they need for making steel comes from Australia. No one quite knows how that's going to affect things yet. We don't know if that's real or just a hype to push up steel. So we're going to be watching it very closely. We have a lot of people on the ground over there. And as soon as prices start going up, we're going to push up with them. If anything, we think it's a positive for our business going forward as long as it doesn't get too crazy. But pricing is real visible. So if I had to guess, I would say we'd have above average inflation in 2011 from what we're seeing today. I do not predict at this time that it would look like 2008, but it's really too early to say that.
Operator: Our next question comes from Thomas Hayes with Piper Jaffray.
Daniel Garofalo - Piper Jaffray Companies: It's Dan Garofalo on for Tom today. I just have some questions on the gross margin. Just right off hand, did the Department of Justice settlement, which line item on the P&L did those reside is that...
Daniel Florness: It's in operating expenses.
Daniel Garofalo - Piper Jaffray Companies: And so you had kind of discussed or you mentioned briefly kind of the international side of the business and ethics usually are not terribly familiar with that. And I was wondering if you could give us some color on what percentage that is and what are kind of the drivers of that business? You've mentioned I think 30% growth.
Daniel Florness: Yes, the International business, I'll back into the number because it's sometimes a better way to explain it. If you look at it from the standpoint of the pure definition of the International business, it's about 8%, 9% of our business. If you take a step back and you say let's look at North American versus non-North American, most of our International business is in Canada and then Mexico and then the rest of the world. So if I looked at outside of North America, and I don't have the stamp right in front of me. It's between 1% and 1.5% of our sales that's outside North America.
Willard Oberton: But let me state that the comment I made about our international growing North of 30% includes Canada, Mexico. It's the full 9% of our business group. While Canada is outgrowing the company, and Mexico is way outpacing the company. Singapore, Malaysia, China, Europe are all doing very, very well. So we're very optimistic about that business going forward. And it's becoming meaningful to the overall performance of the business.
Daniel Garofalo - Piper Jaffray Companies: I noticed just on the stock repurchase kind of last item on the 8-K here. It looks like you still, you're obviously opportunistic in 2009. But it looks like there's still $900,000 remaining on the existing plan. Is there any thought towards putting some of the cash to use for repurchases or otherwise?
Daniel Florness: I guess 2011 we'll see how it plays out and how the marketplace looks at our stock and the type of cash we generate. In 2009, 2010, we really chose to return cash to our shareholder base and even we did some buybacks in '09, the dollars were really centered on returning cash in those years to our shareholders to do with what they saw fit in the marketplace. From a tax standpoint, it's still an efficient way we’re returning dollars to our shareholder base. It looks like that will be in place for another couple of years, that efficiency. So we'll see how things play out as far as how we return dollars to our shoulders. But unfortunately, we're in the position where we have a nice strong free cash flow to do either or. But in 2010 and for the most part 2009, we chose to just return dollars to our shoulders as a dividend.
Operator: Our next question comes from Brent Rakers with Morgan Keegan.
Brent Rakers - Morgan Keegan & Company, Inc.: First one, I was hoping you guys could maybe comment a little bit about what have any of the weather impact might have been in the month of December and maybe if you're seeing anything for January, whether it be a pickup in seasonal sales or possibly a disruption to revenues?
Willard Oberton: We won't comment on our January numbers at this point. But as far as December, we saw a little bit here and there. But I don't think there was really anything unusual. We had a lot of bad weather in the midwest early in the month. But overall, I think there's kind of business as usual in December and January, we'll see how it plays out. It's been really, really ugly in the northeast but it's still early in the month.
Brent Rakers - Morgan Keegan & Company, Inc.: And then second question, just on the trends within bad debt expense, it seems like the last couple of quarters had been inching up a little bit. I was hoping you could maybe just comment on that?
Daniel Florness: It happened slightly although at a much better level than we saw in 2009. There's no doubt about it. 2009 you saw a fair number of business failures. You're still seeing some of that in 2010. And so you're still seeing some bad debts being realized. But in the context of our P&L and the context of overall business extremely manageable figure.
Brent Rakers - Morgan Keegan & Company, Inc.: Dan, any sort of target for 2011 as a percent of revenues or?
Daniel Florness: I'm always frustrated when it's over 30 basis points. And so you couldn't imagine how the fun person be around in the last two years. But when it was north of that. When I look at 2011, I don't want to get ahead of myself, but just based on the trend of the last two years, we were north of 40 basis points, at least that was the number in 2009. We've had that down closer to the upper 30s. It'd be nice to keep wiggling that down as we move through 2011, with the eventual goal of getting that to low-30 basis points. But time will see how that plays out.
Operator: Our next question comes from Adam Uhlman with Cleveland Research.
Adam Uhlman - Cleveland Research Company: A couple of clarifications, Dan. You mentioned active account growth was really strong. Can you put some figures around that in the fourth quarter?
Daniel Florness: It was stronger in the fourth quarter than it had been all year long. It was just shy of 4%. But it had been between 2% and 3% in the first three quarters. So just seeing that move north was a positive sign to see.
Adam Uhlman - Cleveland Research Company: And then in December, the total company average daily sales growth was 21% with Manufacturing up 17% and Non-Res Construction up 13%. I'm wondering what was so strong to drag this company average all the way up to 21%?
Daniel Florness: Good question. I was asking my folks just the end of last week when I was going through some of the data. I said, what's going on that could pull it up that way? A big chunk of our business and part of it is the way you look at the data, you measure the data, we use mix codes as you would suspect. And included in our customer grouping is something that shows us the next code as a reseller. It's a little bit of a fuzzy category because some contractors spending on how that the next code of class so I could show up there as can a true reseller. That business grew quite nicely in the fourth quarter and in the month of December. And that pulled the overall piece up. And I believe, and I don't have that stuff right in front of me, that's between, it's just north of 15% of our sales and it grew well above the company number. My suspicion is some of those contractor like businesses, an electrician could easily show up as a reseller because they're an electrician, they have a small front room to their business. And even though they're really supporting construction, they're showing there. I think there's been some pickups in construction that maybe won't be necessarily apparent in all the published data.
Operator: Our next question comes from Hamzah Mazari with Credit Suisse.
Hamzah Mazari - Crédit Suisse AG: I just have question on your gross margins. Again, you touched on mix being a negative impact. Could you comment a little on how we should think about vendor rebates? What impact that has on gross margins going forward? And then what is the lag on any pricing adjustment you can put through, given the increase in commodities?
Daniel Florness: Well, I'll explain those, there's a few factors. One, what we've historically said about our vendor-incentive portion of gross margin. It's around 100 basis points. And what you saw as we went through 2009, that kept getting whittled away. And then as we got into 2010, that snapped back nicely in the first six months and we're at or slightly above that level as we end the year, which again, puts us in a nice position for the new year. So that's one piece of the equation. The other piece that we've talked about, when you look at when there is some inflation going on, when there is some fluidity to pricing. One of the things that people sometimes don't like about our business is the fact that our inventory turns about twice a year. Fortunately, for us our gross margins make it provide for us to get a great return still on that inventory. In a period of deflating times, as we saw in 2009, that beats the heck out of us because you're selling higher priced product on the shelf for quite a few months into a weakening marketplace. And in a marketplace, where our prices are going up, six months of inventory and maybe 10 or 11 months of import inventory plays out a little better. In that it affords you the opportunity to see the pricing changes as they're happening to have a better plan for how you're going to react to that price increase or price change. And it allows you a three to seven-month window of some pricing flexibility.
Willard Oberton: One thing I will add is when you compare this time to back in early 2008 when we saw the inflation. We have a much stronger team of people here that do nothing but study the pricing, look at what's going on with the market. So it appears, I believe, we'll be able to react much quicker and with better data to the stores because a big part of it is convincing our stores to go out and raise prices to their best customers. That's not an easy thing to do especially when they haven't seen their costs go up. So they get the stores to get out there in front of it is a challenge and I think we have people in place who can get that done.
Hamzah Mazari - Crédit Suisse AG: You guys reiterated 15% to 20% top line growth. Just curious as to what your assumption is as to what multiple of GDP or industrial production you can grow at? And then, is it fair to say that 15% assumes store growth at 6% and the 20% sales growth assumes 8% plus store growth? Or just curious if you can put some assumptions behind that number.
Daniel Florness: I don't want to punk on the question, but I will to at certain degree that you're probably over thinking it a little bit from the way we look at the business. And what we're able to understand in our business is the trends that we lay out, the sequential patterns to our business. We also understand the store openings, the growth plans we have as far as adding sales people both store based and non-store based. We kind of look at all those pieces, and we say based on this, what do we think is a reasonable way to plan our business? And plan our business for the new year just as we did coming into 2010. In 2011, we're coming to the year, we say based on all these things, what's a reasonable range for growth? We think that's a reasonable range. If you look at that and say the economy is stronger or there's some inflation, we would hope that would be a range that we would be at the high-end of that bidding. If the economy were to take a dip down or deflation, which I'd surprised by but if those kind of things happened, it beats you up towards the lower end. But I can't cite for you the fact that we assume this kind of GDP growth. What I will say is we do pay attention to the ISM. If we see an ISM [Institute for Supply Management] number that were all of a sudden change appreciatively that tends to lead our business by about three months. And so it will give us a little room to react as far as some of our expectations.
Operator: Our final question comes from Robert Berry with UBS.
Robert Barry - Goldman Sachs & Company: Just a couple things on the Non-Res Construction end market. Can you give a little more color on how you see that coming back and if that continues to recover, how does that impact mix?
Willard Oberton: Well, we see it probably -- we're seeing it right now coming back the strongest. There's an energy-related projects, oil refining, power plants, all the things related around energy. The other area where we see good building in Non-Res Construction would be healthcare, education and government, where they're building hospitals, schools, college, things like that. While it's very weak on the Non-Res Construction would be anything to do with retail. Very little housing being built kind of the private sector business, non-energy private sectors is very slow. We don't see that coming back. When you look at the releases coming from the targets and the people like that, they're not planning on ramping up their store openings any time soon or most of them are not. So we're going to work hard to put our sales energy into those types of projects that the healthcare energy things like that. If it were to come back stronger, if the economy picks up and people start bringing up the pocketbooks, there's no question it would help our business because it's a big sector that's pretty soft. Margin is about a portion between manufacturing and big constructions, there wouldn't be much there. But it would really just hopefully push us up above the numbers that we're talking about. And I think that's basically Dan just said is that we got a boost from something like a sector or just the overall economy. We should see it moving up. Right now we're not over investing in construction, we're just looking at the big projects. The dollars today are pretty concentrated around the big projects like the energy field.
Robert Barry - Goldman Sachs & Company: And then just a second one on the store growth. And I don't want to hang on every nuance of how you talk about store growth. But I think in the third quarter, you talked about an 11% growth rate of 7% to 9% or even 6% to 10%, which implies a midpoint of about 6% to 8% seems a shade lower. Should we read anything into that? Is there anything that's changed over the last quarter in the way you're thinking about store growth rollout?
Willard Oberton: Not at all. We're looking at it. And we're looking at what we opened in 2010 and what our sales growth was. We're looking at it for 2011. We know that there is at some point we're hitting a saturation. And we think this is a good growth level. We are continuing -- we will probably what you should read into it, is that we're more positive about some of our specialty sales areas. So we're willing to give up a little bit, and we think 7% is a solid good number. We're willing to give up a little bit on that because we have some really good investments that we're making and we're getting positive returns from them.
Daniel Florness: Well, again, thank you, everybody for joining in our conference call this morning. Hope this, combined with our press release is informative for our shareholder base and analyst community in understanding not only our business in 2010, but a little bit of understanding of how we're approaching 2011. Thank you, and have a good day.
Willard Oberton: Thanks, everyone.
Operator: Thank you. Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the conference. You may now disconnect. Everyone, have a wonderful day.